Operator: Hello, and welcome to the Aperam Q3 2021 Results Q&A hosted by Tim Di Maulo, Chief Executive Officer; and Sudhakar Sivaji, Chief Financial Officer. My name is Courtney, and I’ll be your coordinator for today’s event. Please note that this conference is being recorded. [Operator Instructions] Today’s conference will consist of Q&A only and for the duration of the call, your lines will be listen-only. [Operator Instructions]
Operator: And our first question for today comes in from the line of Carsten Riek calling from Credit Suisse.
Carsten Riek: The first one I have is on the free cash flow. Because looking at the peers, which reported earlier, the free cash flow guidance looks a little lighter compared to what your peers actually guided to for the fourth quarter. It looks like you have a bit more net working capital build. Maybe you can shed a bit more light on why you believe the net working capital release in the fourth quarter will be less pronounced? That is my first question.
Tim Di Maulo: Okay. Thank you for the question. Indeed, this -- we have a guidance for a slightly higher free cash flow because of 2 facts. The first 1 is that we believe Q1 being a strong quarter, and we are preparing for this. And this in -- with the second fact that we are at the end of the year, and in line with our leadership on we are preparing 2 major asset upgrades. And so we need to build some inventory at the end of the year to prepare the best entry in the first quarter in a context where some of the assets will be stopped from the major upgrades. And this is in line with what we have had to present under the Capital Market Day and will be, of course, recovered during the next quarters. It is simply, let’s say, seasonal effect or a temporary effect.
Carsten Riek: Okay. Perfect. That’s very clear. The second question I have, and obviously, we had this pretty much each and every call is on electricity and energy. Could you just give us an update where you’re most exposed I would guess it will be in Europe? And are you hedged actually against these kind of higher electricity prices? Maybe you could actually explain a little bit what your position is here.
Tim Di Maulo: So what we give as a guidance on EBITDA is the net effect of 2 parts. One is the cost, which have some insulation and typically the electricity which is very clear in Europe and the other fact is on the fact that we follow with the price or the increase of raw material and the increase of the market and the supply and demand balance. So, all-in-all, the effect is positive, and we are guiding for Q4, which will be even better than the Q3, which is our solving a, let’s say, a record ever. This electricity is as for -- as always partially hedged, partially not hedged, but we don’t disclose the composition of this because this is a competitive, let’s say issue. Indeed, you are right, this energy cost is mainly in Europe, in Brazil, due the effect is minimal.
Operator: The next question comes in from the line of Ioannis Masvoulas calling from Morgan Stanley.
Ioannis Masvoulas: Three questions from my side. The first one, you reported a 13% decline in SME shipments quarter-over-quarter. And on my calculation, this translates to Europe coming down 18% to 20%. Is this the right ballpark? And if so, what’s driving this weakness beyond the typical seasonality? Second question on Brazil. Typically, Q3 is a good quarter for shipments, but you know that the lower shipments there too. There was a comment around distributor destocking, but can you elaborate a bit on that? And the third question, in terms of inventory gains. So you had an increase in the gains in Q3 versus Q2. Shall we bake in now a low double-digit million euro for Q4? Or is it going to be even less than that?
Tim Di Maulo: Okay. First of all, in the shipments, you have a different effect of the seasonality. And what we have seen in Europe, it is partly in line with what the market and the rest of the industry has done. So I don’t know whether you take your figures, but I don’t -- I can’t let me comment on that. You see that I’m not understanding that. In Europe, we have typically a season which is done by a month of August. And a mix of, let’s say, countries where the more you are exposed to the south, the more the month of August has a wait. And so you follow with the maintenance with what is the product, the demand of your customers. But I think that we are partially in line with the standards of the market. In Brazil, Q3, indeed, if you have -- remember that in Brazil, we have the sole supplier. As being the sole supplier, we have a mix of products for products which are stainless steel, electrical steel-oriented and carbon steel. And then we follow the market, and there are few periods in which the distribution is more active than this increase likely the volumes of stainless steel and the life of the other products and give in which they are a little bit destocking with lower, let’s say, demand of stainless steel. But all in all, it has been a good quarter also for Brazil, and we cannot compare. So -- and on inventory gains, maybe Sudha, you want to disclose.
Sudhakar Sivaji: So Tim, just to add to your second point on Brazil. Also remember Ioannis, that -- we are coming from an unusually high Q2 in Brazil. So it’s also just -- if you look at the 2 quarters, it’s following the same pattern, so to speak, what we have seen over the years. So for us, that’s something which we want to keep in mind, right? So going to inventory gains, yes. So we did say that we had about mid-double digit and for next quarter, we do expect a lower double-digit would be a good way to start. So let’s see how low nickel goes because that’s something which can again changes. But that’s a good place to start.
Ioannis Masvoulas: Okay. That’s very helpful. And 1 thing to clarify, when I was talking 18% to 20% down quarter-over-quarter. I took the 13% at the group level or at the divisional level and I looked at the point that you made that Brazil was only slightly weaker, which means Europe was well above the 13% decline to get to that sort of 18% to 20%.
Operator: The next question comes in from the line of Luke Nelson calling from JP Morgan.
Luke Nelson: A couple from me. Just on pricing. A couple of your peers have given a bit more granularity into 2022 in terms of margins, and I suppose, within that pricing and ASP expectations. So I was just wondering if you can maybe give a bit more color on how you’re seeing given your order book extends likely into next year? How you’re seeing potential progression of margins, say, into early next year? And I suppose within that, any comments you can also give around annual contract resets, particularly in Europe? That’s my first question.
Tim Di Maulo: Okay. So indeed, we are seeing Q1 as a strong one. Prices are following the 2 trends, the trend of the cost increase. So they are more than compensating the cost increase, and they could let’s say, moment of the market with demand, et cetera, with some better, let’s say, entering in the year because of the renewal of some contracts, et cetera. So, all this is positive. And we can confirm that all the deposit is there. I will not say that we can give more granularity. There is always, let’s say, sensitive information, but the outlook is definitively positive on Q1.
Luke Nelson: Is it possible to give a sense of what the annual contracts for the 1st of January would be?
Tim Di Maulo: No, I will not put this on disclosure.
Luke Nelson: Okay. No, that’s fine. Next question is just sort of a bit of a follow-up on Brazil more broadly. I’m sure we’ve seen the announcements around the tariffs confirmation of that has obviously been around in the news over the last month or 2. Just to get your sense of how you think that could potentially impact your business at all and effective pricing, et cetera?
Tim Di Maulo: So what you’re’ referring is the import duties. This is what you’re trying.
Luke Nelson: Yes, the reduction from 12 to 10, I think.
Tim Di Maulo: So you see that this is no news. It is something that was in discussion since a lot of time. The government is taking some measures to boost the local economy and they’re reforming tax, they are reforming duties, et cetera. So what they do is -- was expected is the first step of reducing the duties, which is 10% only 14. So in fact, it is 1.4% import duty reduction, which is minimal because the -- let’s say, the pricing in Brazil is globally the effect of different components. One is import duties, yes, but we have antidumpings. We have against China, against other Asian producer against Europe. We have also a position in which Brazil is very complex logistics. So to be there, you need to compensate for the logistics and the transport. So, all-in-all, we see this as a very, very, very minimal effect on Brazil, on top of some, let’s say, there are effects on the exchange rate, et cetera. So -- we don’t see this as an effect of what we expect on the contract is that Brazil is starting the -- all this, let’s say, measure to boost the internal economy. We see the effect of the internal economy already. So the consumption has progressively been better. We have had until now a very good year and there was even better than last year. So, all-in-all, we are very positive on Brazil.
Luke Nelson: Okay. That’s very clear. And my final question is just on ELG. I see in the presentation, still expecting closure by the end of this year. Maybe just give an update on the sort of critical path for that closing? And then, also just in terms of the acquisition price. Can you remind me if there’s any adjustments from a working capital point of view? And if so, if they are material just given the sort of wider changes in working capital we’ve seen?
Tim Di Maulo: Maybe you can take it?
Sudhakar Sivaji: Yes, I’ll take this. So first, Luke, on the process, yes, reconfirm that, as of now, we see that the process will continue and we should have a conclusion by end of Q4. And there’s no critical path as specifically with respect to 1 discussion. We have completed in several jurisdictions. All necessary forms have been filed and now it is up to the authorities, specifically also the European Commission to have their judgment and they have their process and the due time to do that. So, that’s what is happening. So we keep exchanging with them. No specific topic of discussion which is going on, on the approval process. In terms of the price, right? So what you are talking about is basically we have explained when we spoke about the transaction that we acquired ELG and we paid for the net working capital. So, yes, the net working capital pricing has gone up. And you know from publishing reports what the pricing has gone up. But end of the day, it is net working capital. So any debt is going to be a credit line against that. So it’s not a permanent debt. So when prices come down, definitely, this net working capital is going to be released. So there is a direct correlation because the value of ELG, which we paid, which we believe is a very good price for such a valuable operation, just that of the working capital helps us to keep this fluid. It’s a lockup principle.
Operator: The next question comes in from the line of Tristan Gresser calling from Exane BNP Paribas.
Tristan Gresser: The first one, if I can ask maybe a follow-up on energy costs, some of your peers have been able to quantify the impact. If you could maybe tell us how much your energy costs have increased in Q3, maybe quarter-on-quarter or year-on-year? Any color there that would be great. And also in terms of expectation, into Q4, you flagged that those costs should increase. Is that a significant increase, or any color there as well would be appreciated.
Sudhakar Sivaji: So on the energy cost, I’m afraid that Tim gave the answer earlier and we specifically cannot go into the specifics on the increase because as Tim said, there’s 2 parts to the equation. One is the squeeze on our cost, but the second is also how much we are able to pass on to our customers, right? So, because, as you know, in our industry, we do have a pricing policy, which is base price for allied surcharges, and we do pass on transformation costs such as energy costs as part of our base prices. So this is very sensitive information. So that’s the reason I can’t specifically tell you quarter-on-quarter how this is changing because it gives direct transparence to the competition on how we price our products. Is that understandable?
Tristan Gresser: Okay. On the U.S. market, can you talk a little bit about how you perceive the U.S. stainless market? I mean, with the change in trade policy, the exit of 1 market participant, how much you used to send to the U.S. market? How much volume upside you could see there? Is there room for growth in that market? And also, how do you perceive the price gap between European and U.S. base prices?
Tim Di Maulo: Okay. So we have not -- we have no facility in United States. So we are a net importer in the United States. And our volumes have been penalized a lot during the execution of the 232 in -- from March 2018. We have maintained some customers, some loyal customers because we provide them a very high-quality product and the kind of, let’s say, service that they like. And -- but we have been penalized during this last 3 years. Now we don’t know what will be the final form of the, let’s say, 232, but we understand that there will be the possibility for a European producer to come back with a location. And this is a very good news because this will give us the possibility to come back to our loyal customers and give them more products at a premium, now in that in this market, there has always been a premium due to the very high level of the protection. Now, it is clear that it’s also good news because this allows some kind of rebalance between the 2 areas, Europe and in the United States and certainly it is certainly good news for customers. I do believe that there will be a
Tristan Gresser: Okay. That’s helpful. And maybe a final question on trade in Europe. You flagged the rise in HRC imports that come up quite a bit. I understand this is from Indonesia. There are -- and they are paying already the tariffs, the antidumping duty tariff. Do you see a risk that this happens as well on CRC that Indonesia is so competitive that they managed to find buyers even by paying the tariffs? How do you see even with the quarters? How do you see the situation develop there?
Tim Di Maulo: So the situation is -- the situation is the fact that typically, Europe is an open market and will remain an open market, and this is good for the general industry. But the antidumping, antisubsidy measures are therefore and safeguard is to allow to have a level playfield in the market. And this is what we believe is more today than we have had in the last 3 years. Now of course, there will be imports, and there are, let’s say, competitor in Asia, which are -- so they will arbitrate the price that they find in Asia and the price that they find in Europe, and they will be able to import in Europe some quantities. The quantities is a fruit of let’s say, key choices, the choices that they have in their global, let’s say, market and the choice that the European do with the capacity and with the customers that they have and the willingness to follow the certain customers instead of other. So I will say that the market today is a market which is quite far in which we fight as usual. There is availability of material coming from Europe or coming from Asia, and it is a situation that we see as sustainable in the next months for which we have the visibility.
Operator: The next question comes in from the line of Bastian Synagowitz calling from Deutsche Bank.
Bastian Synagowitz: I had just 1 question on the initiatives which you are launching, there for the first quarter next year. So my first question is how many volumes you’ll be losing on the back of the upgrades you’re running there? And then maybe if you could just briefly remind us again exactly what parts of the Leadership Journey you’re tackling and what’s happening, that will be great.
Tim Di Maulo: So I don’t think we have ever said that we will lose volumes on the company. We have said that we are building up some inventory at the end of the year just because we believe that Q1 will be a good one, and we want to protect is good 1 and the major participant in the market in Q1. So the -- this is not a tool something which -- which is related to the loss volumes. But the normal preparation of the seasonal, let’s say, quantities of volumes that are in Q1 will be a Q1 which is -- which we believe will be good in terms of, let’s say, global market, but also it is seasonally a very strong quarter in Europe. And in Brazil, even if it is one of the strong quarter, is still a quarter with decent volumes. And here, we have some major upgrade typically in the downstream as for Europe. And this major upgrade means that one of the major line in Brazil has to be let’s say, upcoming in terms of competitiveness capacity, and we need to stop that line because there are major work to be done.
Bastian Synagowitz: Tim and maybe I was a little bit unprecise, but what I was referring to was not your shipment number, which I understand you’re pre-preparing inventory now to basically be able to fill customer needs and demand in the fourth quarter. But I was actually referring to the amount of volumes you will be losing on the production side because from what you say, I still understand that I think there is going to be sort of some disruption in the production network, which means there’s going to be versus a normal quarter for utilization that you’re going to be at least losing some of those volumes on the production side, not so much on the shipment side, which you are pre-preparing right now?
Tim Di Maulo: No, we will not -- I will not say that we are reasoning this way. We have a market. We follow the market. We decide which kind of market, which kind of level of volumes we want to sell, et cetera. And then we use our capacity, knowing that we have always some spare capacity. Remember, we never, never communicated 100% of utilization rates of the lines. The lines have always some flexibility. Then it’s more complex than this because you need to -- you have a process where you go from the hot-rolling mill and first and pickling rolling secondary and picking and all over the process. You have a maintenance period and period, which can be exceptional in which you do some grade or a major transformation of the lines. And in this case, you have to plan the capacity in a way that you don’t lose the final sales and shipment. But if you want -- don’t use means that if 1 line is stopped in the middle of the chain, you need to constitute some inventories to be sure that when there is start of the line, there is -- at this top of the line, there is no disruption for the lines which are below. And then the line is and then everything will be normalizing in term of inventory.
Sudhakar Sivaji: So Tim, if I may add a sentence to that, to help Bastian and just get the sense of it. Two points to that, Bastian. One is that I would request you to look at the pattern, and these are the questions which came up in Q4 of last year as well. And Aperam did not artificially reduced net working capital. We saw it was a strong Q1 and we follow the pattern, and that’s the reason we’ve been able to generate much faster than the average industry income and cash for the first few months of the year, which we’ve been also able to return to the holders, which we believe we can do next year as well, right? So just for the pattern. The second thing is that on your specific question, the upgrades which we are talking about are asset upgrades in downstream. So there’s no loss of volumes as such or utilization as such because that happens primarily in the upstream. So this is just downstream upgrades, yes. Does that help?
Bastian Synagowitz: Absolutely. No, that’s been very helpful. And could you just remind me the -- you basically adding a little bit of volume capability there from, I think, 700,000 tonnes to 900,000 tonnes as well. Is this also what is basically happening in the first quarter already?
Sudhakar Sivaji: I said downstream. In downstream, we’ve always explained this as we upgrade our capacity to deliver a better portfolio mix.
Bastian Synagowitz: So that’s a product upgrade basically.
Sudhakar Sivaji: yes.
Operator: The next question comes in from the line of Faisal Qureshi calling from Jefferies.
Faisal Qureshi: Most of my questions have already been answered, but I was just wondering if you can reiterate your CapEx guidance for the year or for the next quarter, how do you see that evolving?
Sudhakar Sivaji: So Faisal, we’ve guided to EUR 165 million a year, and that’s what we’re going to stick with. So the Q4 will be slightly higher than the other quarters on an average for this year. As we start taking shape the Leadership Journey investments, EUR 165 million, right? So that’s that we reiterate that. We stick to that CapEx guidance.
Operator: Next question comes in from the line of Patrick Mann calling from Bank of America.
Patrick Mann: I just wanted to ask a little bit more about the ELG acquisition. So if you could just tell us if you’re still very confident in that transaction concluding, and we should assume that absent anything very surprising is going ahead. And then just in terms of how you’re preparing to integrate it? What will be the first steps you take once the business is within the Aperam Group? And what will kind of be your first initial plans for next year once you get it?
Tim Di Maulo: Okay. So yes, we remain confident, as you said. Remember that what we have always said, ELG is a unit is a company, which has his own, let’s say, portfolio of customer, and we want to do is to run the company as an independent part and independent P&L, which will continue to have customers. And we are, let’s say, sure that they have a job will be to increase the profitability of Aperam in continuously growing, strengthening their internal process and providing their customer, the best quality and service. Then we have with ELG, some synergies because we want to be sure that we do the right, let’s say, logistics and we can reduce some of the costs that are related to business scrap. And we want to expand and increase the quality of the scrap and the collection of the scrap of ELG. All these will be our, let’s say mandate from the beginning to the company. So continue to have a support Aperam P&L with the fact that they can expand because this circular economy is and will become even more at the heart of the everything we will do in this industry. And so we want to participate to this industry, and we will support ELG, okay? Now as you know, we are not in a closing. We are still -- we have not yet closed the deal. So the company is for the moment, independent is still part of the Haniel Group, and we will be more specific when we will have been able to sit down with the management and define the next steps, which, for the moment, is not possible.
Operator: [Operator Instructions] Our next question comes in from the line of Christian Georges calling from Societe Generale.
Christian Georges: Just on ELG. When would you advise us to start accounting for this acquisition? I’m obviously assuming that you don’t get any issues on any thought. But the next first quarter of next year is a realistic time to account it for?
Sudhakar Sivaji: Christian, let me take that question. So I mentioned this to Luke as well, and we said that at the opening of our statement as well. So let’s make that explicit. When we bought ELG, we had a lockbox arrangement since the beginning of 2021. So -- once the transaction closes, the assets transfer as if it belongs to us, including all earnings from the 1st of January 2021. okay? It’s a lockbox arrangement. On this, we paid a value and purchase price, if you split it into equity value, it’s fixed. And as I explained to Luke, based on raw material prices, if the working capital changes, then any debt will come as part of the balance sheet, which will release as soon as the working capital goes down and it is a short-cycle business, 6 to 8 weeks. So that’s the nature of the business, okay? So when the closing happens is when we get full access to the company and start talking about integration. But balance sheet wise and accounting wise, right? So since it’s a lockbox arrangement, the transfer happens already beginning of this year, 2021. The one added point which is important and Tim spoke about that is the -- we can start working on synergies and integration and all those add-on things, the point when the company starts coming in. So if we expect closing in Q4, Q1 of next year is a good starting assumption at this point.
Christian Georges: Yes, very, very clear. Sorry, I missed the first 10 minutes. So I didn’t get that earlier question you asked. And my second question is, there’s been that fire at Masigalia a few weeks ago. And I understand that all the imports quota where kind of like booked in a few weeks in the current quarter. And I mean do you feel that there is going to be a rising pressure from your customers to try to relax those quarters because what seems to be a growing difficulty to source, especially on cold-rolled stainless steel in Europe?
Tim Di Maulo: So first of all, the quarter are related to imports coming from Asia and this quarter has been part of the big mess and the logistics that we see impressive, let’s say, with ships that are waiting from the ports, et cetera. So -- the fact that some of the quota can be filled in a very strong days when they opened because there was a long queue it is normal. I probably said before, the market is a market which is open and well supplied. We don’t see any tension -- real tension in serving our customers. There is a tendency to, let’s say, to compensate this disruption in supply chain with some longer order book. This is what we feel in the market. And the fire in Masigalia is concerning a relatively small line compared to the size of the market, which is, I don’t know, 20 to 25x bigger will not be the big issue for the market. So -- you have seen that there are imports that are going up or down depending on the moment, depending on the prices. And as I repeat, the market is open. The prices are, let’s say, better regulated by the fact that there is less dumping -- much less dumping as was in the past, which is allowing the possibility to recover the level of profit, which is even ahead of the let’s say, average of the cycle.
Operator: The final question comes in from the line of Alain William calling from ODDO BHF.
Alain William: Yes. Just 1 left. So on Services & Solutions, clearly, the adjusted EBITDA was again very strong. I think it’s 3 or 4x the historical average. Just wanted to know what you see in terms of the margin for Q4, at least directionally? And what you see in terms of the path to mean reversion?
Tim Di Maulo: So Service & Solutions is, of course, profiting of the fact that when you have a market which is increasing fast, they are on very short and they have the possibility to capitalize a lot on the short-term. So this is something which is, as you have said, not the usual level of result of S&S, but it is very usual that when the market is going up S&S as the possibility to better serve the customer and so profit to the short-term prices and increase with the market. Now we see still Q4 on the next month as positive, and we see S&S is a positive trend, maybe slightly below because we also the -- some inventory effect due to the raw material applies also to S&S. And so maybe there could be some slightly lower affecting this, but we are really happy with the performance of S&S, which confirms our strategy to go to as close as possible to the market and being sure that on the short term, Aperam can give to the market whatever it needs, and this is -- once again, what we said, we are close in the market. So we know that there is availability and S&S is the proof that this availability as.
Operator: That was the final question in the queue. So I shall turn the call back across to yourself, Tim, for any concluding remarks.
Tim Di Maulo: Okay. Thank you very much to you all for your questions and for having assisting this call. I would like to solve out this the situation with the fact that we are very happy with a record quarter, which came in above the guidance and above the consensus. We look at it and we guide for another record quarter in Q4. And also, we expect a strong start in ‘22 in a seasonal ‘21 and with the preparation that we are doing as we have explained. We strongly believe that the future of Aperam is bright and that all our shareholders will benefit with. So, thank you very much for participating in this Q&A call today. I wish you a nice day and a relaxing weekend. Bye, bye.
Operator: Thank you for joining today’s call. You may now disconnect your handsets. Hosts, please stay connected and wait for the instructions. Thank you.